Operator: Welcome to the Standex International Fiscal Third Quarter 2022, Financial Results Conference Call. All participants will be in listen-only mode. . Please note today's event is being recorded. I'd now like to turn this over to Gary Farber, with ClearView Advisors. Please go ahead.
Gary Farber: Thank you, Operator. And good morning. Please note that the presentation accompanying management's remarks can be found on the Investor Relations portion of the Company's website at www. standex.com. Please refer to Standex's safe harbor statement on Slide 2. Matters that Standex management will discuss on today's conference call include, predictions, estimates, expectations, and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's most recent Annual Report of Form 10-K, as well as other SEC filings and public announcements for a detailed list of risk factors. In addition, I'd like to remind you that today's discussion will include references to the non-GAAP measures of EBIT, which is earnings before interest and taxes. Adjusted EBIT, which is EBIT excluding restructuring, purchase accounting, acquisition-related expenses, and one-time items. EBITDA, which is earnings before interest, taxes, depreciation, and amortization. Adjusted EBITDA, which is EBITDA excluding restructuring, purchase accounting, acquisition-related expenses, and one-time items, EBITDA margin, and Adjusted EBITDA margin.  We will also refer to other non-GAAP measures included, adjusted net income, adjusted operating income, adjusted net income from continuing operations, adjusted earnings per share, adjusted operating margin, free operating cash flow, and pro forma net debt to EBITDA. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with the accounting principles generally accepted in the United States.  Standex believes that such information provides an additional measurement and consistent historical comparison of the company's performance. A reconciliation from such non-GAAP measures to the most analogous GAAP measures may be found in the company's earnings release issued yesterday. On the call is Standex's Chairman, President and Chief Executive Officer, David Dunbar, and Chief Financial Officer and Treasurer, Ademir Sarcevic.
David Dunbar: Thank you, Gary. Good morning, and welcome to our fiscal third quarter of 2022, Conference call. Our momentum continued in our fiscal third quarter with solid financial performance, a healthy pipeline and growing end markets, and good execution by our global teams. Our repositioned business portfolio is increasingly aligned with sustainable global trends, and we are expanding our range in penetration of innovative solutions. I want to thank our employees, our executives, and the board of directors for their continued dedication and support. Now, if everyone can turn to Slide 3, key messages. Revenue and consolidated adjusted operating margin continue to increase both year-on-year and sequentially, with order strength, share gains, and productivity initiatives, all significant contributors. Standex revenue growth was broad-based with 4 of our 5 segments increasing year-on-year and sequentially. In particular, the electronics segment delivered record quarterly sales of nearly $80 million. We continue to see strong demand globally across many of our product lines. Electronics backlog, realizable under a year of approximately $151 million at the end of the third quarter, represented a 57% year-on-year and 5% sequential increase. In addition, specialty solutions segment revenue increased approximately 20% year-on-year, with continued positive trends as food service equipment markets returned to pre - Covid’19 levels consolidated adjusted operating margin of 13.8% our fourth consecutive quarter of record margin was 160 basis points increase year-on-year and 20 basis points improvement sequentially.  From a growth perspective, Standex is aggressively pursuing new opportunities for applications in sectors with attractive growth profiles where our technology and expertise enjoy significant competitive advantages. And market trends in sectors such as electric vehicles, renewable energy, commercialization of space and defense remains strong while food service and commercial aviation continue to recover. Total company backlog realizable under one year of approximately $267 million at the end of the third quarter represented a 51% increase year-on-year with strength on the electronics, specialty solutions and engraving segments, and a slight increase sequentially.  We continue to strengthen our customer value proposition through strategic acquisitions. In March, we announced the purchase of Sensor Solutions, a privately held Colorado -based designer and manufacturer of Hall effects sensor products. This is a complementary technology enhancing our existing solutions in high-value sectors, such as electric vehicles, industrial automation, and medical end markets. We're already seeing substantial sales synergies as we introduce our joint product offerings, through our sales channels.  In addition, our previously announced solar panel projects with ENEL, is progressing, as a planned site in Brindisi, Italy, has been selected for the pilot production phase. As we navigate a challenging and dynamic operating environment, we continue to implement new tools and processes in our operating playbook. All businesses have added more frequent bottoms-up reviews of current and projected costs to respond rapidly to inflation with appropriate productivity and pricing actions.  These efforts are complemented by an active calendar of lean initiatives and ongoing strategic sourcing actions. While we're seeing signs of improved efficiency in Standex's North American Engraving operations, we are also announcing today additional actions globally, which will result in $2 million of annualized cost savings. In the electronics segment, we're on plan to complete our reed switch material substitution project this quarter, reducing our exposure to future rhodium inflation. In line through disciplined and balanced approach to capital allocation, we announced today a new $100 million share repurchase program. Our portfolio continues to drive a growing number of exciting new business opportunities and we see significant opportunities for further shareholder value creation. Standex's balance sheet strength and consistent cash flow generation, position us well to execute on this program. Ademir will discuss our financial performance liquidity position and capital allocation in greater detail later in the call. Regarding our financial outlook in fiscal fourth-quarter 2022, we expect a slight sequential decrease in revenue and operating margin, but an increase year-on-year. The sequential quoting in decrease, primarily reflects the financial impact of the COVID-19 lockdown in Shanghai, China, which we currently estimate will defer sales of approximately $7 million to $9 million from our electronics segment from the fiscal fourth quarter 2022, into the following quarter. As Standex enters fiscal 2023, we are well-positioned for further revenue and margin improvement as end-market trends remain strong. Our new business opportunity pipeline continues to grow. And our focus on continuous improvement through ongoing productivity and efficiency actions, becomes further embedded in our segments. Our outlook assumes a continued macroeconomic recovery. Now please turn to Slide 4, were we begin to discuss our segment performance and outlook, beginning with electronics. Segment revenue of $80 million increased approximately $15 million or 23% year-on-year, reflecting broad end-market strength across all geographies, including renewable energy, electric transportation, solar, and military aerospace markets. The electronics segment had strong operating leverage with an approximately 24% segment margin, resulting in $19 million in adjusted operating income, or a 56% year-on-year increase. This was due to revenue growth, pricing, and productivity actions. We continue to enjoy a favorable mix between well-established relationships and new customers. First-year sales from new business opportunities are forecast to be approximately $17 million in fiscal 2020, a 37% increase year-on-year and our NBO funnel has grown to approximately $65 million, and approximately 10% increase year-on-year. The picture on Slide 4 highlights a concrete example of how our customer intimacy model creates lasting deep relationships. In this case, an initial signal application in 2018 opened the door to future opportunities, expanding relationship to over ten applications and $4 million of annual sales.  Regarding our fourth quarter fiscal’22 outlook, we expect a moderate sequential decrease in revenue and operating margin, despite our growing backlog and strong end-market demand. Headwinds from the COVID-19 lockdown in Shanghai, China will push some sales into the following quarter and will be only partially offset by continued strong demand across key end-markets. Please turn to Slide 5 for a discussion of the engraving segment. Revenue of $37 million increased just over 3% year-on-year due to positive trends in North America and soft trim demand.  Operating income of $5.7 million grew 27% due to volume growth, as well as efficiency and productivity actions. Laneway sales of approximately $15 million increased nearly 14% year-on-year due to positive trends and soft trim tools, laser engraving and tool finishing. The picture on Slide 5 highlights a significant texturizing opportunity with the recent customer. Through our one partner solution, we are able to offer a comprehensive solution on a global basis from design to prototyping and execution of the final product, a significant competitive advantage.  In this case, we designed the texture in Europe and then delivered the engraving with our customer's chosen tool makers in Asia. In regard to our fiscal fourth quarter outlook, we expect a slight sequential decrease in engraving segment revenue and operating margin due to the timing of projects and geographic mix. We also expect continued growth in our soft trim offering. Now, turn to Slide 6, the scientific segment. Have expected scientific revenue of $19 million decreased approximately $5 million year-on-year or 22% reflecting lower demand for COVID-19 vaccine storage, partially offset by sales and pharmaceutical, clinical laboratories and academic institution and markets.  Operating income of approximately $4 million decreased approximately $1.6 million or 28% due to lower volume and higher freight costs, partially offset by pricing actions. As highlighted on Slide 6, the pace of new product introductions are scientific and steadily increasing. The scientific segment is the first in the industry to launch stability and temperature test chambers with natural refrigerants, and variable-speed compressors with a patent application pending.  In our fiscal fourth quarter, sequentially, we expect revenue to be similar and operating margin to decrease slightly. We expect strong demand from smaller regional pharmacies and doctor's offices, to offset lower sales from large national pharmacy chains. Our new product development effort remains very active, positioning us well for future new sources of revenue, with a focus on innovative, proprietary technologies. Turning to the Engineering Technologies segment on Slide 7. Revenue of approximately $21 million increased $1 million or nearly 5% year-on-year, on continued growth in commercial aviation, defense, and medical end-markets. This was partially offset by the absence of the previously divested Enginetics business, which contributed approximately $4 million in revenue to last year's third quarter. Operating income of $2 million increased approximately $1 million or 87% reflecting volume growth and project mix. As highlighted here, Engineering Technologies is expanding its European presence. Pictured, are an aluminum tanks solution delivered to a large European spacecraft manufacturer, and an example of Standex's titanium hot forming efforts at our spincraft UK site. Besides from significant technical and market expertise, we offer a cost-effective locally manufactured solution for the fast-growing European space sector. On a sequential basis, we expect fiscal fourth-quarter revenue to be similar to slightly higher due to strength in commercial space as we secure an increasing number of new business wins.  We expect a slight to moderate increase in operating margin due to leverage associated with volume and productivity initiatives. Please turn to Slide 8, Specialty Solutions. Specialty Solutions revenue of $32 million increased to just over $5 million or 20% year-on-year due to growth in food service equipment and refuse end markets. Operating income of $3.6 million decreased approximately $600,000 or 15%, reflecting the impact of material inflation and increased freight costs primarily in the hydraulics business, partially offset by volume growth and pricing actions. Order trends were strong with specialty's backlog realizable under a year of $48 million, increasing approximately 170% year-on-year, and 7% sequentially.  Picture on Slide 8 reflects a recent redesign of our successful Pack Eject Cylinder to further improve its operating life. In the fiscal fourth quarter, we expect a slight sequential increase in revenue and moderate improvement in operating margin. This reflects increased production levels at the hydraulics business unit and solid demand in display merchandising, which we expect to further leverage through pricing and productivity actions. I will now turn the call over to Adamant to discuss our financial performance in greater detail.
Ademir Sarcevic: Thank you, David. And good morning, everyone. First, I will provide a brief summary of our fiscal third quarter 2022, results. We delivered another quarter of strong organic growth and operating margin expansion, effectively managing challenging inflationary and supply chain environment. Organic revenue growth of approximately 14.5% year-on-year reflected record sales at the electronics segment, supported by continued healthy end market trends. We ended the quarter with an overall book-to-bill ratio of approximately 1.05. In the quarter where the electronics segment had record sales, book-to-bill for this segment was still above 1, indicating continued end market strength. Adjusted consolidated operating margin of 13.8% in the quarter was another record quarterly result, increasing 160 basis point year-on-year, and 20 basis point sequentially, as we effectively leverage volume growth, price, and ongoing productivity actions. But we're also very active with respect to our capital allocation priorities, acquiring sensor solutions, continuing to repurchase shares, and declaring our 231st consecutive dividend, while generating free cash flow and further strengthening our liquidity position. In summary, we are well-positioned for continued profitable growth, and market trends and our new business opportunity pipeline remains strong, and we have an active funnel of activity and pricing actions to effectively address inflationary challenges and manage our supply chain Our new $100 million share repurchase authorization reinforces our substantial financial strength and significant opportunity for further shareholder value creation. Now, let's turn to Slide 9, third quarter Fiscal 2022 income statement summary. On a consolidated basis, total revenue increased 9.9% year-on-year, from $172.2 million in the third quarter of 2021 to $189 million this quarter. This afflicted organic revenue growth of approximately 14.5% year-on-year, which strengthen the electronics and specialty solutions segments.  The recent Sensor Solutions acquisition contributed approximately $0.4 million of sales in the quarter. The sales increase was partially offset by the prior divestiture of the Enginetics business, which contributed approximately $3.9 million in revenue in third quarter fiscal 2021, as well as a 2.6% impact from foreign exchange. On an year-on-year basis, our adjusted operating margin increased 160 basis point to 13.8% reflecting operating leverage associated with revenue growth and readout of price and productivity actions, partially offset by material inflation and increased freight costs. As expected, our tax rate was 24% compared to 24.9% in the third quarter of fiscal’21. We expect our tax rate will be in the low 20% range in our fiscal fourth quarter, and approximately 24% for fiscal 2022.  Adjusted earnings-per-share by $1.54 in the quarter of fiscal 2022, compared to $1.19 a year ago, an approximately 29% growth year-on-year. Please turn to Slide 10 third quarter 2022, free cash flow. We reported free cash flow of $8.5 million in the third quarter of 2022 compared to free cash flow of approximately $12.4 million in the third quarter of 2021 and we expect on a sequential basis that our free cash flow generation will strengthen in our fiscal fourth quarter.  Next, please turn to Slide 11 for a summary of Standex's capitalization structure and liquidity statistics, which remain very strong. Standex had net that of $65.8 million in the end of the third quarter, compared to $52.5 million at the end of the second quarter with the sequential increase, primarily due to the purchase of Sensor Solutions for $9.9 million in March. Our net debt for fiscal third quarter of 2022, consisted primarily of long-term debt of $199.7 million and cash and cash equivalents totaling $133.9 million with approximately $100 million held by foreign subs.   cash flow of approximately $5 million for foreign subs in the third quarter, bringing the fiscal 2022 year-to-date total to approximately $20 million. We expect to repatriate of between $30 million to $35 million in cash in fiscal 2022. We ended the third quarter with approximately $300 million of available liquidity. In addition, our net debt to Adjusted EBITDA leverage ratio was approximately 0.5 times with a net debt-to-total capital ratio of 11.2%. In terms of capital allocation, besides the Sensor Solutions acquisition, we repurchased approximately 112,000 shares for $11.9 million in the quarter with a new $100 million share repurchase authorization announced today and becoming effective May 10th.  In addition, we declared our 231-consecutive dividend of $0.26 on April 27 on approximately 8% increase year-on-year. On fiscal 2022, we expect approximately $25 million in capital expenditures. I will now turn the call over to David for key takeaways from our third-quarter and closing comments.
David Dunbar: Thank you, Ademir. If everyone can please turn to Slide 12, for a discussion of key takeaways. We're seeing consistent improvement in Standex's financial results, supported by a strong portfolio of high-quality businesses, increasingly aligned with sustainable global trends, and delivering an expanding range of innovative solutions. Our new business opportunity portfolio's robust. We are winning applications and sectors with long-term healthy growth prospects. Our deep technical and applications expertise combined to deliver compelling customer value and attractive financial returns for Standex. In regard to the challenging operating environment, we continue to introduce new processes and tools to effectively manage inflationary trends and further drive strategic sourcing and productivity company-wide. Our disciplined and balanced approach to capital allocation is supported by a strong balance sheet and consistent cash flow generation. Our new $100 million share repurchase authorization, reinforces our significant financial strength and opportunity to further enhance shareholder value. We are approaching fiscal 2023, well-positioned for revenue growth and margin improvement. Operator, I will now open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. . We'll pause momentarily to assemble our roster. Gentlemen, our first question today comes from Chris McGinnis, was Sidoti & Company, please go ahead.
ChristopherMcGinnis: Good morning. Thanks for taking my questions, and congrats on a nice quarter. Could you maybe talk a little bit about how well you are handling the inflation environment? Where are you seeing the most pressure, and can you also comment maybe on labor, as well? Thank you.
David Dunbar: Great question. Very pertinent. We feel like we've got a head start on inflation because you remember a couple of years ago we were slammed with a really dramatic increase in rhodium in our electronics business, and they had to completely revise the way they issue quotations, how often we update the price list, the level of approval on the quotations. And so, in the last couple of years, we have communicated that across all of our businesses in a global webcast, and we made that a best practice.  So, we actually, had all the global leaders on a phone call, not six weeks ago, to lay out some guidelines for them to think about preparing for a highly inflationary environment, including adopting best-practice from electronics. We actually feel quite confident that we know what to do. We know how to protect our P&L from the effects of inflation. It doesn't mean it's easy. It's always difficult to pass price increases through, but we're confident we can handle it.
ChristopherMcGinnis: Great. Thanks. And I guess just on the $7Million - $9 Million deferral of the sales related to the lockdowns. How confident you are going to see that in future quarters as things start to open up? Is there any risk to that?
David Dunbar: I can just tell you what assumptions we have based on the -- your guess is as good as mine about when these lockdowns will ease. But we're now operating in Shanghai at about 20% capacity, with plans to get to 30% the next few weeks. Our assumption is that in June, we'll be back to full force. If we are, we'll be probably at the lower end of that number, maybe better if we can work on the backlog. If the lockdown continues or slows or return, we would be at or above the upper end.
Ademir Sarcevic: Chris, if I can just add these are not loss sales. We create -- before we believe and expect this will be the sales we're going to make up in fiscal’23. So this is just a deferral from a quarter-to-quarter, but not loss in sales.
ChristopherMcGinnis: Great, and I appreciate that thought. And then just last question, I'll jump back in queue after this. More talk around possible slowdown in the economy and recession concerns. Can you just talk about what you're seeing out of your customer base for demand trends and maybe how things progress throughout the quarter. Thank you.
David Dunbar: Yeah. This is crazy situation. We're living in one reality preparing for another. Our bookings are strong, our book-to-bill has been greater than one every quarter this year, in fact, has been momentum from January through to April, our backlog you saw, some of the numbers, some of the businesses backlog is up. So we're not seeing any softening in demand across our different businesses however, we read the news like everybody else and in a same call we had with the businesses six weeks ago, we've had everybody start to prepare contingency plans if and when when we see a sign of a slowdown and where we're just going to rely on the same playbook that we exercised a couple of years ago when the world was shutting down with the pandemic lock down. So were continuing to execute on the growing demand and preparing for the eventuality of a downturn.
ChristopherMcGinnis: Great, thanks for taking my questions. I'll jump back in queue at this point.
David Dunbar: Yeah. Thank you
ChristopherMcGinnis: Thanks, guys.
Operator: Now, ladies and gentlemen, our next question today comes from Chris Howe of Barrington Research. Please go ahead.
Christopher Howe: Good morning, David. Good morning, Ademir.
David Dunbar: Chris.
Ademir Sarcevic: Good morning.
Christopher Howe: I wanted to follow up on some of the last questions. As it relates to the $7 million to $9 million deferral from the fourth quarter to fiscal year’23. As we think about different scenarios, hopeful that June marks the end of the lock downs so you can become 100% operational. But assuming the other side of that, and if there are more deferrals, how can we consider these deferrals versus the bottleneck that might be occurring in supply chain? Do you think that gradually comes back or can you get it in one quarter? Can you explain how you recapture the revenue that is not lost, but deferred?
David Dunbar: Let me say a word then Ademir can also help frame it. The first thing to understand relative to supply chain and the impacts on this lock down. The $7 to $9 is just related to the lock down impact. In our China business, two-thirds of the sales of that plant go to Chinese customers. So, they're not going to be caught up in waiting for tank -- freighters  going freight. So minimal impact on supply chain when that lock down is raised. Ademir.
Ademir Sarcevic: And I think that through the much color that Chris, I think they're probably going to take us a couple of quarters to make up work as we brand back company and get the -- get our products to customers. But all indications, everything we're seeing, the orders are still strong. We are not -- there hasn't been any cancellation. I think this is something that we'll make up as soon as the lockdown is over.
ChristopherHowe: And does margin come back in lockstep with the recapture of revenue, or will margin, maybe, take a little bit more time to get all of it back?
Ademir Sarcevic: I think it'll come back from the lockstep of revenue. Obviously, in this quarter, because we have a factory shutdown, and we still have to pay fixed costs, including the salaries of the people in Shanghai. So that's going to impact us a little bit. But as the volume comes back, we do expect that we'll get the same margin, if not better, to what we have been seeing so far.
ChristopherHowe: Okay. I wanted to switch gears away from that towards the new business opportunity funnel for the electronics segment. Within that new business opportunity funnel is electric vehicles. Can you refresh my memory on electric vehicles and what you see the potential for this as this trend to electric vehicles continues much further out from 2022 and perhaps into 2024 and 2025? How do you see electric vehicles fitting into the portfolio?
David Dunbar: Our sales in electric vehicles have -- if you follow the trend of electric vehicle shipments has doubled each year for the last few years and we project them to double again next year, we're adding more capacity for the particular products that we sell into electric vehicles. A primary product there as we've talked about many times is a relay based on a reed switches which is used in the safety management system. We also have relays and some magnetic products that go into battery management systems, in the electrics. So, a third leg where we're somewhat optimistic is that this acquisition we just made of Sensor Solutions, we are identifying additional applications in electric vehicles for Hall effect sensors that can be designed with Sensor Solutions.  So, as we close some of those applications, and if we can expand our shipset value, I guess if you want to put it that way, with the electric vehicles. So bottom-line, we're very enthused about electric vehicles, we're seeing great growth there and putting more and more resources to make sure we get every application available to us.
ChristopherHowe: Okay, great. I have many more, but I'll hop back in queue for others.
David Dunbar: All right. Thanks, Chris.
Operator:  Our next question comes from Chris Moore, in CJS Securities. Please go ahead.
Christopher Moore: Hey, good morning, guys. Thanks for taking a couple of questions.
David Dunbar: Chris.
Christopher Moore: Good morning. The $2 million engraving initiative, should we read anything into that? Is that response to markets being a little softer than originally thought or just something you had been targeting for a while?
David Dunbar: Last year, much of our focusing with the cost structure and operations integrating has been in North America. In the last couple of quarters we're seeing North America stabilize, starting to deliver predictable results. This additional action $2 million is just taking a broader view of all our locations around the world, and reassessing based on the tool makers that are still present in different geographies.  Making sure that we're adjusting our capacity on our cost structure for that local business. The tool making industry, it slowly evolves, and toolmakers open and close in different geographies around the world. We just wanted to continually make sure that we've got the right resources in the right places. So that $2 million is actually scattered across many sites around the world. Ademir, you want to add anything to that?
Ademir Sarcevic: No. I think that pretty much covers it. And then Chris, I think, one thing to -- we're advocating on most of them within this quarter and maybe Q1, but we should start seeing the results in the next fiscal year.
Christopher Moore: Got it. That's helpful. Maybe talk a little bit about the anticipated evolution of segment earnings? And if you look at first 9 months, electronics contributed, I think, roughly 55% of operating income. What's a reasonable expectation for electronics contribution 2, 3 years out? Is it likely to stay in that range? Is it likely to be below 50? I understand that the 3 segments are 20% margin targets, but for overall, talk a little bit about what you think electronics contribution will be?
Ademir Sarcevic: Maybe I can take that one on. First of all, Chris, we love this business. And if you are very helpful, then your largest business is your most profitable business, which is where we're at. And it's also on our highest growing businesses. So we're going to continue investing in it, both organically, inorganically. And there is no reason for us to believe that the current contributions we have seen from electronics and are not going to continue to be strong in the years to come.
David Dunbar: I wouldn't add much, other to say, it will grow as fast or faster than the other businesses, so of percent contribution of profit will -- you can make you own conclusion. It's likely to only increase with success and our growth strategies there.
Christopher Moore: Got it. It's helpful. You talked about the engineering opportunity in Europe. How do you sell into those markets for engineering capability? Is it -- you already have the infrastructure in place to do that as it, how different is it from North America?
David Dunbar: Yeah. We actually have been able to transfer process knowledge from our U.S. sites to our U.K. site. They are very similar equipment there and the same business that we acquired in 2012, before I joined the company and it was primarily focused on supporting deep sea early gas platforms and of course that business is virtually gone now, so we've re-positioned it over the years, they have a healthy position in medical in the MRI scanners, and we've taken our U.S. knowledge of aircraft and space applications and are now developing relationships with those customers in Europe.  So that the pictures you saw on the Engineering Technologies page are for a space program in Europe. So it's really more of a sales effort, we've got the technical capability, we have the know how, we have the machinery over there, and we're just directing the business development people to get in front of the right people from the European programs and feel, actually we've had good returns in the last year's we focused on this and we're optimistic we have a growth path in Europe.
Christopher Moore: Got it. That's helpful, I will leave it there. I appreciate it, guys.
David Dunbar: Thanks, Chris.
Operator: . Ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for closing remarks.
David Dunbar: Thank you, . We had a very active quarter, further advancing our growth strategy in multiple fronts. We are aggressively pursuing new market opportunities, which offer innovative and compelling customer value propositions. These efforts are complemented by ongoing productivity and efficiency initiatives. We focused on strengthening our market leadership and cost position.  As a result, we're very well-positioned to further optimize Standex growth and margin profile. Finally, I want to thank everybody today for your interest in Standex in our discussion of our fiscal third quarter results and outlook. And again, to thank our employees, shareholders, and the board of directors for the continued support. We look forward to speaking with you again in our Fiscal Fourth Quarter 2022 Call.
Operator: Ladies and gentleman, this concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful weekend.